Operator: Greetings. Welcome to the Align Fourth Quarter and Full Year 2025 Earnings Call. At this time, all participants are in a listen-only mode. A question and answer session will follow the formal presentation. Please note this conference is being recorded. I will now turn the conference over to your host, Shirley Stacy with Align Technology. You may begin.
Shirley Stacy: Good afternoon, and thank you for joining us. I'm Shirley Stacy, Vice President of Corporate Communications and Investor Relations. Joining me for today's call is Joe Hogan, President and CEO, and John Morici, CFO. We issued fourth quarter and full year 2025 financial results today via Business Wire, which is available on our website at investor.aligntech.com. Today's conference call is being audio webcast and will be archived on our website for approximately one month. As a reminder, the information provided and discussed today will include forward-looking statements, including statements about Align's future events and product outlook. These forward-looking statements are only predictions and involve risks and uncertainties that are described in more detail in our most recent periodic reports filed with the Securities and Exchange Commission, available on our website and at sec.gov. Actual results may vary significantly, and Align expressly assumes no obligation to update any forward-looking statement. We have posted historical financial statements with corresponding reconciliations, including our GAAP to non-GAAP reconciliation, if applicable, and our fourth quarter and full year 2025 conference call slides on our website under Quarterly Results. Please refer to these files for more detailed information. With that, I'd like to turn the call over to Align Technology's President and CEO, Joe Hogan. Joe?
Joe Hogan: Thanks, Shirley. Good afternoon, and thanks for joining us today. On our call today, I'll provide an overview of our fourth quarter and full year 2025 results and discuss the performance of two operating segments, System Services and Clear Aligners. John will provide more detail on our Q4 financial performance and comment on our views for 2026. Following that, I'll come back and summarize a few key points and open the call to questions. I'm pleased to report fourth quarter results with better-than-expected revenues and clear aligner volumes, as well as non-GAAP gross margin and non-GAAP operating margin, both above our outlook, and the highest non-GAAP operating margin since 2021. Q4 revenues were a record $1,048,000,000, up 5.3% year over year and 5.2% sequentially. For the full year 2025, total revenues were a record $4,000,000,000, up 1% year over year. Systems and services revenues were $790,000,000, up 2.7% year over year. Fiscal 2025 clear aligner revenues were $3,200,000,000, up 0.5% year over year on record clear aligner volumes of 2,600,000 cases, which are up 4.7% year over year. For the year, a record 936,000 teens and kids started treatment with Invisalign clear aligners, up 7.8% year over year for fiscal 2025. Total DSP touch-up cases shipped were over 136,000, up 36% compared to 2024. We also delivered fiscal 2025 non-GAAP operating margin of 22.7%, above our 2025 outlook. In terms of major milestones, as of 12/31/2025, over 296,000 active Invisalign-trained doctors have treated over 22 million people worldwide, including over 6,500,000 teens and growing kids, with Invisalign clear aligners and Invisalign palette expanders. For clear aligners, Q4 revenues of $838,000,000 were up 5.5% year over year and up 4% sequentially. Q4 clear aligner volume was also a record 677,000 cases, up 7.7% year over year and up 4.5% sequentially. On a year-over-year basis, Q4 lighter volume growth was driven by strength in EMEA, Latin America, and APAC, with stability in North America. Q4 clear aligner volume growth reflects strength from adults and teens and growing kids patients, as well as growth in both the GP and ortho channels. On a sequential basis, Q4 clear aligner volumes reflect strong growth from the EMEA region, driven primarily by adult patients, as well as continued strength in Latin America from teens, growing kids, and adult patients. For Q4, 88,000 doctors submitted Invisalign cases globally, a record high for the fourth quarter, driven primarily by a record number of orthodontists submitters. Dental service and orthodontic service organizations, DSOs or OSOs, remain one of Align's most important and scalable strategic growth channels and a major catalyst to making digital dentistry the global standard of care. As DSOs continue to outpace growth rates of traditional retail practices globally, they are becoming one of the most influential forces shaping digital dentistry. In many respects, their scale, operational discipline, and need for consistent tech-enabled workflows make them ideal partners for accelerating adoption of the Invisalign system, iTero scanners, and fully digital workflows across large networks of general dentists and orthodontists. This practice consolidation trend strengthens brand preference and utilization as DSOs increasingly prioritize efficiency, clinical predictability, improved patient experience, and importantly, scale. Align has proven its leadership as the world's most sophisticated treatment planning and 3D printing manufacturing operation. Our ability to scale and meet the patient needs speed, rigor of those rapidly growing DSOs is unmatched globally. Over the past year, we continue to make strong progress with DSOs across all major regions. In The Americas, we deepen partnership with top DSOs, building on our successful Heartland and Spauld doctors relationships. Our top 10 DSOs in The Americas grew double digits year over year, and retention was up double digits in The Americas. These gains helped offset broader orthodontic market softness in North America retail chain where consumer sentiment and patient inflow remained pressured. North America DSO Performance Remained Very Strong. Delivering Double Digit Year Over Year Growth Led By Strength In The Adult Category. In EMEA, 10 DSOs in the region. DSOs continue to drive expansion in both Invisalign case volume and iTero scanner penetration. Across all regions, DSOs remain high growth, digitally forward partners that amplify Align's reach and impact. Their continued adoption of Invisalign and iTero reinforces the strength of our digital platform as DSOs help move more of the industry toward a fully digital standard care. In The Americas, clear aligner volumes were up year over year, representing one of the best growth rates since 2021. This was led by double digit growth in Latin America, which delivered record quarter shipments, driven by more submitters and higher utilization across both the orthodontist and GP channels. With strength across adults, teens, and kids. We also reached a major Invisalign milestone in Q4 by surpassing one million patients treated with Invisalign in Latin America. North America, we focused on driving adoption of Invisalign and saw encouraging results across our portfolio. Our year over year performance reflects higher utilization across all channels. We continue to see that practices taking an active approach to conversion Scanning Every Patient, Using Chairside Visualization Tools, And Offering Patient Financing Or Performing Better Than Those That Don't. While DSOs Are Leading The Way In North America, we're helping retail doctors adopt similar business methods through localized marketing, outside patient financing, and tools that help doctors attract and convert patients. Affordability also remains a priority. Our partnership with the health care financing platform, HFD, continues to grow, and doctors and DSOs enrolled in HFD are seen as incremental lift to Invisalign treatment. With meaningful room for expansion. And by offering more portfolio flexibility, including streamlined configurations with no additional aligners, doctors have more options to meet patients' needs and drive adoption. In EMEA, clear aligner volumes grew double digits. Year over year reaching record Q4 levels. We delivered double digit growth year over year across almost all markets with Iberia, The Nordics, and The UK all delivering double digit growth. During the quarter, we surpassed key patient milestones reaching over a million patients treated in both The UK and Iberia. In APAC, clear aligner volumes grew double digits year over year, achieving a record number of Q4 shipments by China, India and Korea. With strength across teens and growing kids. Growth reflected increases in both submitters and utilization in the GP channel, as well as an increase in ortho submitter utilization. Invisalign First continued to to grow adoption of the Invisalign Palate Expander System Began The Region During The Quarter. Retention Performance Remained Strong Year Over Year, Supported By Increased Utilization Across Both Channels. Regarding China's volume based procurement process or VPP, there continues to be implementation delays, and early phases are expected to begin within the public hospital system before expanding more broadly. As a reminder, over 85% of our business in China is in the private sector. While timing and scope remain fluid, we believe we are well positioned to navigate eventual pricing changes through our established local footprint, including local manufacturing, regulatory, and commercial infrastructure, and a product portfolio designed specifically China's clinical and economic environment. In Q4, over 230,000 teens and growing kids started treatment with Invisalign clear aligners an increase of 7% year over year. This growth was driven by strong performance in APAC, led by China, along with EMEA and Latin America, partially offset by continued softness in North America Sequentially, case starts declined 9.8% as expected, following an exceptionally strong Q3 teen season. From a product standpoint, Invisalign First, the Invisalign pallet expander, and MAOB, mandibular advancement with occlusal blocks, continue to fuel year over year growth across all regions. Invisalign First is used for patients ages six to 10. Addressing phase one needs such as crowding, spacing, narrow arches, and erupting teeth. Our pallet expander system, the first direct printed orthodontic appliance, and the only FDA cleared removable pallet expander, remains a strong driver of early intervention adoption globally. Doctor engagement in the teen and early intervention category remains solid, In Q4, the number of doctors submitting cases for teens and growing kids increased six percent year over year supported by continued strength in Invisalign First, outlet expander, and MAOB. Invisalign system continues to demonstrate broad clinical applicability across younger patients and adults. Reinforced by our global scale and exceptional product portfolio, with more than twenty two million patients treated worldwide, including over six point five million teens. Our treatment planning platform is powered by a robust evidence based ClinCheck Y plan, which can generate initial doctor ready plans in about fifteen minutes. Leverages AI driven planning tools and integrated digital workflows to reduce cycle times, enhance chairside experience, and help doctors convert patients more efficiently. Our portfolio strategy, including products, with lower upfront cost options, is expanding access for doctors while maintaining healthy margins. These configurations give providers more choices around refinements, and pricing that continue to support adoption. We're also advancing direct fabrication transitioning from thermal forming to three d printing of clear aligner appliances. Direct fabrication will unlock new design flexibility, and, over time, reduce waste and lower cost although early production has some dilutive margin impact until scale. We remain on track for limited market release of Invisalign First Direct three d printed retainers and Invisalign Specifics three d printed prefab attachments in 2026 with more complex products expected to follow in 2027. Invisalign specific attachment system is a direct three d printed accessory indicated to bond attachments and engagement features. Over the past year, it has advanced through technical design assessment, and has been used successfully to treat over a thousand patients. Feedback from participating doctors has been consistently positive. Demonstrating strong clinical adoption and market validation. For imaging systems and CADCAM services, which includes iTero solutions and Exocad software, Q4 revenues were 209,000,000, up 4.2% year over year and up 10% sequentially, driven by higher volumes across all regions, and continued adoption of iTero lumina scanner. Lumina represented approximately 86% of full systems units in the quarter, and we continue to drive utilization through full systems installations. During Q4, Exocad delivered sequential year over year revenue growth We continued piloting ExelCAD ART stands for advanced restorative treatment, in several European markets. With broader rollout plan for this year. ART extends a digital platform deeper into restorative and lab workflows. Increasing software driven reoccurring revenue, enhancing efficiency for doctors and labs. Exocad's strong footprint in dental labs provides a critical connection point between restorative dentistry and digital orthodontics. Helping integrate restorative planning more tightly with iActero's scanning and Invisalign treatment. As GPs and labs we are developing across solutions that streamline restorative workflows. Improve communications, and increase predictability. From single tooth restorations to full arch cases. These advancements support broader digital adoption and create more opportunities to incorporate iTero scanning, and, where clinically appropriate, Invisalign treatment as part of comprehensive care. Our growing suite of digital and diagnostic tools, including Align Oral Health Suite, and Align X-ray Insights or AXI helps doctors identify conditions earlier, deliver clearer, more informed treatment recommendations. When combined with the restorative capabilities of exocad, and the visualization strength of iTero, these tools support better long term oral health outcomes and naturally connect straightening, function, and restorative care with a unified digital platform. By strengthening our capabilities across diagnostic, restorative, and orthodontic workflows, we're increasing our relevance in everyday oral health care and positioning Align, iTero, and Exocad as essential partners across the GP and lab ecosystem. With that, I'll now turn it over to John.
John Morici: Thanks, Joe. Now for our Q4 financial results. Total revenues for the fourth quarter were $1,047,600,000 up 5.2% from the prior quarter and up 5.3% from the corresponding quarter a year ago. On a constant currency basis, Q4 revenues were unfavorably impacted by approximately $3,000,000 or approximately 0.3% sequentially and were favorably impacted by $14,800,000 year over year. Or approximately 1.4%. Q4 clear aligner revenues were $838,100,000 up 4% sequentially, primarily due to higher volume and mix shift to higher price countries and products partially offset by higher discounts. Higher net deferrals, and unfavorable foreign exchange. Unfavorable foreign exchange impacted Q4 clear aligner revenues by approximately $2,300,000 or approximately 0.3% sequentially. Q4 clear aligner average per case shipment price was $1,240, a $5 decrease on a sequential primarily due to higher discounts, higher net deferrals, and unfavorable foreign exchange, partially offset by a mix shift to higher priced countries and products. On a year over year basis, Q4 clear aligner revenues were up 5.5% primarily from higher volume price increases lower net deferrals, and favorable foreign exchange, partially offset by higher discount and mix shift to lower priced countries and products. Favorable foreign exchange impacted Q4 clear aligner revenues by approximately $12,400,000 or approximately 1.5% year over year. Q4 clear aligner average per case shipment price was $1,240 down $25 on a year over year basis, primarily due to higher discounts mix shift to lower price countries and products, partially offset by price increases. Favorable foreign exchange, and lower net deferrals. Clear aligner deferred revenues on the balance sheet as of 12/31/2025 decreased $33,900,000 or 2.9% sequentially and decreased $61,400,000 or 5.1% year over year and will be recognized as as revenue as additional aligners are shipped Q4 Systems and Services revenues of $209,400,000 were up 10.3% sequentially primarily due to higher scanner system sales and nonsystem sales partially offset by lower scanner wand sales and unfavorable foreign exchange. Q4 systems and services revenues were up 4.2% year over year primarily due to higher nonsystem sales, favorable foreign exchange and flat scanner system sales. Partially offset by lower scanner wand sales. Foreign exchange unfavorably impacted Q4 systems and services revenues by approximately $700,000 sequentially or approximately 0.3%. On a year over year basis, systems and services revenues were favorably impacted by foreign exchange of approximately $2,500,000 approximately 1.2%. Systems and services deferred revenues was flat sequentially. And decreased $24,600,000 or 11.2% year over year due in part to the shorter duration of service contracts selected by customers on initial scanner system purchases. Moving on to gross margin. Fourth quarter overall gross margin was 65.3%, up 1.1 points sequentially primarily due to operational efficiencies, impairment on assets held for sale in the third quarter, excess inventory write off in the third quarter, and lower restructuring and other charges partially offset by higher depreciation expense on assets disposed of other other than by sale. Gross margin was down 4.8 points year over year, primarily due to higher depreciation expense, on assets disposed of rather than by sale partially offset by operational efficiencies. The lower restructuring and lower restructuring and other charges. Overall gross margin was unfavorably impacted by foreign exchange of 0.1 points sequentially and favorably impacted by foreign exchange of 0.5 points on a year over year basis. On a non GAAP basis, which excludes stock based compensation, amortization of intangibles related to certain acquisitions, depreciation expense, on assets disposed of other than by sale, restructuring and other non GAAP charges, gross margin for the fourth quarter was 72% up 1.6 points sequentially and up 1.2 points year over year. Clear aligner gross margin for the fourth quarter was 64.2%, down 0.7 points sequentially, primarily due to depreciation expense on assets disposed of other than by sale, partially offset by operational efficiencies. Foreign exchange unfavorably impacted clear aligner gross margin by approximately 0.1 sequentially. Clear aligner gross margin for the fourth quarter was down six points year over year, primarily due to the depreciation expense of assets disposed of other than by sale and lower ASP. Partially offset by operational efficiencies. Foreign exchange favorably impacted clear aligner gross margin by approximately 0.5 points year over year. Systems and Services gross margin for the fourth quarter was 69.6%, up 8.4 points sequentially primarily due to excess inventory write off in the third quarter partially offset by lower ASP. Foreign exchange unfavorably impacted the systems and service services gross margin by approximately 0.1 points sequentially. Systems and services gross margin for the fourth quarter was up 0.2 points year over year primarily due to operational efficiencies, partially offset by lower ASP. Foreign exchange favorably impacted systems and services gross margin by approximately 0.4 points year over year. Q4 operating expenses were 5 and $28,300,000 down 2.7% sequentially and down 4.4% year over year. On a sequential basis, operating expenses were $14,600,000 lower, due primarily to lower restructuring costs partially offset by slightly higher advertising and marketing and technology spend. Year over year operating expenses decreased by $24,500,000 primarily due to lower restructuring costs. On a non GAAP basis, excluding stock based compensation, restructuring and other charges, and amortization of acquired intangibles related to certain acquisitions depreciation expense on assets to be to be disposed of, other than by sale. And other non GAAP charges, operating expenses were $480,900,000, up 3.8% sequentially and up 1.3% year over year. Our fourth quarter operating income of $155,300,000 resulted in an operating margin of 14.8%, up approximately 5.2 points sequentially and up approximately 0.3 points year over year. Operating margin was unfavorably impacted from foreign exchange by approximately 0.3 points. Sequentially and favorably impacted by foreign exchange by approximately 0.2 points year over year. On a non GAAP basis, which excludes stock based compensation, restructuring and other charges and amortization of intangibles related to certain acquisitions, depreciation expense on assets disposed of, other than by sale, and other non GAAP charges operating margin for the fourth quarter was 26.1%, up 2.3 points sequentially and up three points year over year. Interest and other income and expense net of the fourth quarter was an income of $21,300,000 compared to an expense of $1,600,000 in 2025, primarily due to gain on investments. On a year over year basis, Q4 interest and other income and expense was favorably was favorable compared to an expense of $3,400,000 in '24, primarily by favorable foreign exchange movements and gain on investments. The GAAP effective tax rate in the fourth quarter was 23.1%, compared to 40.1% in the third quarter and 26.3% in the fourth quarter of the prior year. The fourth quarter GAAP effective tax rate was lower than the third quarter effective tax rate, primarily due to the release of uncertain tax position reserves, partially offset by deferred tax adjustments from tax rate changes in certain foreign jurisdictions, and additional taxes accrued on foreign earnings. The fourth quarter GAAP effective tax rate was lower than the fourth quarter effective tax rate of the prior year primarily due to the release of uncertain tax position reserves and lower U. S. Taxes on foreign earnings. Partially offset by deferred tax adjustments from tax rate changes in certain foreign jurisdictions. Additional tax accrued on foreign earnings and change in our jurisdiction jurisdictional mix of income. On a non GAAP our non GAAP effective tax rate in the fourth quarter 20%, which reflects our long term projected tax rate. Fourth quarter net income per diluted share was $1.89 up $1.11 sequentially and up 50¢ compared to the prior year. Our EPS was unfavorably impacted by approximately $05 on a sequential basis and favorably impacted by $0.3 on a year over year basis due to foreign exchange. On a non GAAP basis, net income per diluted share was $3.29 for the fourth quarter, up $0.68 sequentially and $0.85 year over year due to higher revenue and lower operating expenses. Moving on to the balance sheet. As of 12/31/2025, cash and cash equivalents were $1,094,900,000 up sequentially $90,300,000 and up $51,000,000 year over year. Of the $1,000,000,094,900,000 balance, dollars 166,300,000.0 was held in The U. S. And $928,600,000 was held by our international business. During Q4 twenty twenty five, we repurchased approximately 700,000.0 shares of our common stock at an average share price of $142.87 These repurchases were made pursuant to the $200,000,000 open market repurchase plan announced in August 2025. And were completed in January 2026. During twin 2025, we repurchased 2,900,000.0 shares of our common stock at an average per share price of $162.09 for a total of $465,900,000 As of 12/31/2025, $831,000,000,200,000 remains available for repurchases of our common stock under our $1,000,000,000 stock repurchase program. Announced in April 2025. Q4 accounts receivable balance was $1,101,800,000 up sequentially Our overall day sales outstanding was $94 down approximately $7 sequentially and up approximately four days as compared to 2024. And primarily reflect flexible payment terms that are part of our ongoing efforts to support Invisalign practices. Cash flow from operations for the fourth quarter was $223,200,000 Capital expenditures for the fourth quarter were $35,900,000 primarily related to investments in our manufacturing capacity and facility. Free cash flow, defined as cash flow from operations minus capital expenditures, amounted to $187,300,000 Before I turn to our outlook, I'd like to provide the following remarks regarding U. S. Tariffs, as of December 31. Currently, we do not expect a material change to our results of operations as a consequence of the latest U. S. Tariff actions. And we refer you to our 2025 press release and earnings materials as well as our Q2 twenty twenty five webcast slides which includes specifics regarding potential impacts on U. S. Tariffs. Now turning to our outlook. Assuming no circumstances occur beyond our control, such as foreign exchange, macroeconomic conditions, and changes to our currently applicable duties, including tariffs or other fees that could impact our business. We expect Q1 twenty twenty six worldwide revenues to be in the range of $1,010,000,000 to $1,030,000,000 up 3% to 5% year over year. We expect Q1 twenty twenty six clear aligner volume to be up mid single digits year over year. We expect Q1 twenty twenty six clear aligner average selling price to be up sequentially from favorable geographic mix. We expect systems and services revenue to be down sequentially consistent with our typical Q1 seasonality. We expect our Q1 twenty twenty six GAAP operating margin to be 12.4% to 12.8%, down sequentially and Q1 twenty twenty six non GAAP operating margin to be approximately 19.5%, consistent with Q1 seasonality. For fiscal twenty twenty six, we expect 2026 worldwide revenue growth to be up 3% to 4% year over year, We expect 2026 clear aligner volume growth to be up mid single digits year over year. We expect the 2026 GAAP operating margin to be slightly below 18% approximately 400 basis points improvement over 2025 and non GAAP operating margin to be approximately 23.7%, 100 basis point improvement year over year as communicated during our third quarter earnings call. We expect our investments in capital expenditures for fiscal twenty twenty six to be $125,000,000 to $150,000,000 Capital expenditures primarily relate to technology upgrades additional manufacturing capacity, as well as maintenance. Q4 was a good finish to the year. With results that came in better than expected and reflect the continued strength of our business fundamentals. As we enter 2026, we are executing with focus and discipline, and we're encouraged by the progress we're seeing across the regions and key customer segments. Our confidence is grounded in the actions we're taking to actively manage the business, and drive growth through our core strategic priorities. Expanding international adoption, increasing orthodontic utilization part particularly among teens and kids, accelerating GP engagement, including restorative dentistry, and strengthening consumer demand conversion with greater emphasis on local last mile marketing. While the macro environment remains dynamic, we are cautiously cautiously optimistic. With a strong innovation road map, disciplined operational execution, and a global team committed to delivering for doctors and their patients we believe we are well positioned to deliver growth and value in 2026 and beyond. With that, I'll turn it back over to Joe for final comments.
Joe Hogan: Thanks, John. In summary, I'm pleased with the fourth quarter results and strong finish to 2025. We delivered sequential and year over year growth in clear aligners, saw improved stability in North America, and delivered solid performance in imaging systems and services, International markets and our DSO partners continue to show encouraging momentum. And we're tailoring region regional specific strategies supported by local manufacturing and product offerings to unlock meaningful, still untapped demand. Across DSOs and GP dentists, we strengthen clinical training, expanded AI enabled tools, and broadened financial partnerships support utilization and improve access to Invisalign treatment. Our localized data driven marketing programs are beginning to improve retail conversion in targeted markets, and our evolving product portfolio designed around affordability, flexibility, and predictive is resonating with doctors. The teens and growing kids category remain a major long term opportunity. Supported by unique solutions like Invisalign First, Invisalign pallet expander system, and MAOB. We continue to invest in innovation across AI driven treatment planning, integrated digital workflows, and direct fabrication capabilities. Key areas highlighted in investor day that improve predictability, increase speed, strengthen our cost structure, and enhance margins over time. These investments support our broader priorities consistent execution, improved operating leverage, stronger conversion, and disciplined capital allocation. At the same time, remain grounded in the realities of the current environment. Our opportunities are significant, but sustained momentum in 2026 will require disciplined execution across regions, channels, and product lines, particularly strengthening North America, improving conversion throughout the funnel, and scaling internationally. Looking ahead, we're cautiously optimistic. Our strategy is clear. Our competitive advantages are strong, and our innovation road map is aligned to the needs of doctors, patients, and our partners globally. Realizing the full value of these assets will require continued focus and consistent performance. We remain committed to expanding access to Invisalign treatment, accelerating conversion, and advancing the next generation of digital orthodontics. Powered by the world's largest orthodontic data asset, real time ClinCheck planning, and the only fully integrated digital ecosystem spanning Invisalign iTero, and Exocad. Together, these capabilities position us to broaden adoption, strengthen utilization, improve efficiency, and drive long term value for customers, patients, and shareholders. As we move into 2026. With that, thank you for the time. I'll turn the call over to the operator.
Operator: Thank you. At this time, we'll be conducting a question and answer session. If you would like to ask a question, please press 11. On your telephone keypad. You will then hear an automated message advising your hand has been raised. You may press 11 again if you would like to remove your question from the queue. It may be necessary to pick up your handset. Before pressing the keys. One moment, please. Our first question comes from the line of Elizabeth Anderson with Evercore ISI.
Elizabeth Anderson: Hey guys, good afternoon. Congrats on a nice quarter and outlook and thanks for the question. I was wondering, Joe, if you could maybe parse apart and maybe conceptually, if you can't do it numerically, of how we think about this improved volume performance. Do you think it's sort of underlying market trends accelerating? I noticed you're also there's a big emphasis seems like, the sales force towards higher growth channels. So I'm just trying to understand how much of it you think is market driven and how much you think is perhaps a different sales strategy or marketing strategy that you guys are adopting? Thanks so much.
Joe Hogan: You know, I'd know, I'd say stability when you look at the markets and what we've really worked through. Elizabeth, recently, I'd say on top of that stability, you see us executing well in this of, you know, we talked about the DSOs all around the world, and and really, honestly, incredible growth they've been able to drive over the last, really, several quarters for the business. I think our portfolio, like we talked about with young patients, you know, again, you think about the pallet expander, MAOB, those those things, Invisalign First are are great products. There's also a strong attachment rate we're seeing with when you have IPE along with Invisalign First. Those things 40% of the time will evolve into Invisalign First case. So that's a nice part of that early teens marketplace that we're helping to grow that marketplace overall. So then DSP and touch up cases and all are really a big growth area for us too.
Elizabeth Anderson: Got it. No. Thank you for that additional color. And then maybe, John, one for you. As you talk about sort of the positive ASE perhaps in the first quarter. Anything you can do to help us put a little bit more of a parameter around what you would consider sort of that positive growth?
John Morici: Yeah. I think when you look at the the mix that we have, as we've in certain countries, and we've we've talked about this, you know, certain countries give us more of a favorable ASP mix, and we expect that as as we grow in some of these these regions that have a higher list price, and that that will help us. And then also balancing the product portfolio. You know, where we have, you know, some of those products that are more comprehensive, and and we see some of that growth coming through. So there's a there's a multitude of of of things that we see from an ASP, standpoint, but manage it closely, understand what it means from an ASP all the way to gross margin, and you know, we see a good combination there.
Elizabeth Anderson: Great. Thanks so much.
Operator: Alright. Thank you. And our next question comes from the line of Brandon Baskas, with William Blair. Hey, everyone. Thanks.
Brandon Baskas: Thanks for taking the questions. Maybe first, Joe, can we spend a minute another minute you know, sounds like things are stable in end markets. Just to us a little bit about what that means. And in part, I'm asking because think the next question then becomes, like, what is the assumption as you think about the 2026 guidance What are you guys kind of assuming both on the international side and the North or the Americas side for end markets?
Joe Hogan: Brandon, it's Joe. I I you know, open up with this and let John jump in is I'd say we're projecting, you know, what we experienced in the second half of the year. The execution we've had, obviously, from a global standpoint, the good penetration and growth that we've seen there, Again, leveraging the early teens like I talked about before with Elizabeth in those areas. And so we continue to run the plays we've been running from an execution standpoint and a product standpoint. Not just globally, but in Americas and North America too. Challenge. And so
John Morici: just on that, Brandon, we're not expecting our forecast is is saying, look. We we expect the markets to to behave like they are. No no change in terms of what we've seen. It's about us driving that that active conversion approach that we have. Some of it on on the products, and the portfolio that we have. Some of it is in terms of how we go to market. Some of the last minute or last mile efforts that we have to be able to help those those customers drive that conversion. So it's just it's just taking that mindset and and building that forward. But really not expecting the markets to be anything different, and that's what's included in the forecast.
Brandon Baskas: Got it. And then, that that's helpful. Joe, you the comments you were making around DSOs are are really interesting. I know this has been a a strong point for you guys for a while, I think this is the first time I've heard you say some of the DSOs grew triple digits. And I I guess the question is, can you just talk to us a little bit, like, how early you are in this adoption curve in the DSOs I'm trying to get a sense of how many of these can continue to grow in the double digit or even some of them in the triple digits as you go through 2026. Thanks for the questions, guys.
Joe Hogan: Yeah. I think there's two parts to that. The answer to that question, Brandon. One is the continued DSO penetration. As they move to a larger percentage of the markets that they participate in. And now behind that, we've, you know, recruited and, you know, been recruited by other DSOs help to join that. So our penetration in DSOs around the world has increased too. You know, as I said in my script too, we are a natural partner because we do we can scale on so many dimensions with them. And it's it's you know, some of these DSOs had worked with some competitive suppliers of when they look at us, they understand that we can we can scale treatment planning. We have local kind of distribution. There's just so many areas that we can help them with a broader product portfolio, all those things. So I would say you know, we're still, you know, good growth parameters in that business, and I'd say also, you're gonna see DSOs continue to expand around around the globe, and we'll continue to take advantage of that too.
Brandon Baskas: Thank you. Thanks for
Operator: And our next question comes from the line of Jeff Johnson with Baird. Yes. Thanks. Good evening, guys. Hey, Jeff.
Jeff Johnson: Hey. Wanted to start maybe on your adult business. That 8% number really stands out to me. Not only is it your best number since 2021, I think you said that on the call, but you guys haven't even sniffed a 5% number in the last three or four years. So that's, you know, materially higher and especially came against a generally tough comp of 4% last year in the fourth quarter. So is that early traction with NOAA? Is it some HFD tailwinds? Is it ClinCheck Live early traction? Just what's really driving that improvement on the side, especially given that macro doesn't seem like it's really supporting an improvement in, you know, adult spending on on discretionary items? I think you named three really good variables, Jeff, that's helping to drive that.
Joe Hogan: You know, I mean, you know, honestly, a lot of it comes through DSOs too, which really helps. Particularly on the, you know, on the GP side we see, but the the, you know, the OSOs grow well in that area too. So it's those variables you just talked about, you know, ending with financial credit. That really helps in these times, particularly in North America where we know patients are challenged that way too. So you know, broad portfolio, scanning every patient that walks in the door. And we talk more and more about that's the key. If you wanna go digital, wanna convert patients you normally wouldn't convert, is get this thing into a digital format in a pictorial format. You can show before and after results while that patient in that chair. That's what the DSOs do so well in the retail you know, accounts we work with do that well too. John, anything you'd add to that?
Jeff Johnson: Sorry. Yeah. Maybe one follow-up then. Yeah. Yeah. Joe, Just one follow-up. It might be a similar topic or or answer from you. But, you know, I think last quarter when we kinda backed out, it looked like your North American retail business or your your non DSO business I guess, how we think about it, was probably down know, maybe pushing double digits, year over year. I I know you guys told me that was a little aggressive, but somewhere in that ballpark. You mentioned, I think, at your very end, comments there of the call of the prepared remarks that, the retail business got a little better. Just any kind of commentary or any kind of color you can provide to flesh that U. S. Retail business or North American retail business out in the period?
Joe Hogan: Hey, Jeff. The word I'd use is is more stability there. We're standing, I think, on a better platform in that sense. The team's been executing better around there. I wouldn't call the economic situation in The United States better in any way in a sense of driving volume in that way. I just say the team's more focused. Our portfolio is a little broader as we talked about. And and, obviously, the DSOs are helping a lot in that sense too.
John Morici: North America was we got better. Due to some of the retail wasn't as negative, and and the DSOs growth. That combination brought North America to be better a year over year basis than it was in in Q3. And when we talked about it on the overall Americas, when you add in Latin America, grew at the fastest rate or one of the fastest rates since 2021. So we're encouraged by that. And it's all the things Joe talked about to help drive that conversion.
Jeff Johnson: Thanks, Joe. Helpful. Thanks,
Joe Hogan: Thanks, Jeff.
Operator: Thank you. And our next question comes from the line of Jon Block with Stifel.
Jon Block: Hey. Hey, guys. Good afternoon. John, I you know, I'm gonna get try to get pretty granular I know you gave some color on twenty twenty six clear aligner volumes and overall worldwide revenues for the year But I just wanna try to drill down on, you know, price or ASP. So should we think about Invisalign ASPs down you know, call it 2% year on year. I'm thinking FX is probably a plus and that full year is probably a plus. But maybe
John Morici: any detail you can give us there. And the follow on would just be you know, I think ASPs were supposed to be up a little bit three q to four q. They were down a little. Maybe just talk to Was it intra quarter FX? Was that just geo mix? Any color there? Thanks.
John Morici: Yep. No. Two good questions. So overall, your first question, John, yeah, expect ASPs to work, you know, kind of model maybe one to 2% down. Overall. So it's kind of in that range that you talked about on a year over year basis. 2026 for all the things that we talked about country mix, as well as product mix, the kind of the noncomprehensive versus, comprehensive. And when you look at it on a quarter over quarter basis, when you look at the our fourth quarter, they would have been flat had we not had, you know, FX change slightly. You know, we got a little bit worse from a quarter over quarter in in FX, and then you also had some of the country mix. We had really, really good growth in some of the countries, you know, that are in Latin America and Turkey and India and so on that have a lower lower, list price. So the the combination of that country growth on a quarter over quarter basis, plus, you know, slight impact on the f FX side of things. From a currency standpoint caused us to be down slightly.
Jon Block: Got it. Great color. And then just a follow-up.
John Morici: Joe, I'm just curious, like, what you're hearing, if anything, regarding you know, these tax receipts or stimulus. Did you build anything into one q? Just how you think that may or may not play out. And then the tack on of that admittedly sort of different question is we're sitting here in February, you know, is is no AA officially out there? You gonna sorta hit the go button all at once? I know it's been with the DSOs for a while, or is this gonna be more drip drip by geography? Just really how you refine the rollout of NOAA and your thoughts there in '26. Thank you.
Joe Hogan: Yeah, John. On the on the taxes, you know, again, I'll describe it as I did before. We just looked at North America as stable as we go into the first quarter. We understand some of the projections on taxes and what, you know, consumers look at that as possible upside, obviously, but we didn't plan necessarily around that. Just plan on, you know, how we have to execute and the way we did in the fourth quarter and carry that over. As far as the zero AA products, you know, they mix and match all over the world, John. Kind of a different kind of a profile what we have in The United States versus what we have in Europe and what we're doing in APAC. In general. But, you know, as John said in his comments, know, the customers out there like this options, especially ones that have a lot of confidence in our product line. Know how to use the product, understand, you know, that that you the perfection aspect of five by five that they think I worried about before. Over the years, I think they've gained more confidence in themselves through our product line and what it can do. So that I it's not like it's all starts right now. We have some of these things we'll roll out in APAC. Some different variations will roll out, and in the in Europe. But I'd say, you know, by the end of the first quarter, into the second quarter, of, of this year, we'll have that pretty much lined out by geography.
Jon Block: Great. Thanks for the color, guys.
Joe Hogan: Yeah, John. Thanks.
Operator: Thank you. And our next question comes from the line of Michael Cherny with Leerink Partners.
Michael Cherny: Hi, Mike. Good evening.
John Morici: Yes. Hey. How's it going? Thanks for the question. Congrats on a nice quarter. Maybe just on the margin side, great to see the talk about the 100 basis points of opportunity. As you think about where you were in 3Q versus the guidance now, any changes in terms of how you think about getting to that margin Any positive surprises? Anything relative to the revenue drop down on the better case starts? Talk to me about the dynamics, especially the strategic nature of the dynamics. In terms of the potential for growth. Yeah. I I Michael, this is John. So when you think about the product portfolio we have, we have the mix shift that we've been talking about. It it gets noted in ASP, but what that means is when we don't have refinements and we have some of this lower stage product, it's it's more profitable. The the margin rate is higher. And so you see some of that from a mix standpoint. It's shows up in our in our gross margin. You're also seeing the, many of the effects of some of the productivity improvements that we have. We talked about some of the equipment that we had and maybe upgrading some of the equipment and seeing some of this. We're starting to see early stages of of that benefit as well. So you know, it's our it's our products that we have and and how we're going to market with those. And then it's also just driving productivity. We wanna be, mindful of of getting that adoption, growing our our business, and and that volume helps. DSP and others that don't have refinement, but then driving productivity and we saw good results from a gross margin standpoint, like saw in in Q4 that we haven't seen we haven't seen since close to 2021. So that's good to see. We wanna continue that as we go into, 2026. And just one follow-up, and I apologize if I missed the nuance relative to the DSO commentary. This is more tied back to the pull through on Lumina. You're obviously now a year plus past the launch.
Michael Cherny: How is it
John Morici: behaving, acting in terms of your conversion opportunities relative to the placements and what that's doing in terms of some of the volume dynamics? Is it hitting the targets that you want? Is it outperforming? Anything more you give us on the experience there would be great.
Joe Hogan: We feel really good about that platform. Overall, Michael. It's been well accepted in the marketplace, both from a GP standpoint who do a lot of restorative procedures as well as the orthos, obviously, that are you know, dedicated to orthodontics in that way. We know that know, having Lumina at those accounts, and the more Luminas you have in those accounts, the better off you do. And continue to emphasize that at accounts, and the uptake seems to be good. I think to answer your question, you have to kinda go all over the world. But in general, I think the foundation of your question is, can you keep growing Lumina? Will keep growing that platform? We feel good about that platform. It's a multistructured light. We'll obviously have iterations on that platform as we go forward. So feel really good about not just the market performance of Lumin over last year, but what we're positioned to do in the future with the technology too.
Michael Cherny: Thank you. Thanks, Michael.
Shirley Stacy: Next question? And our next question comes from the line of Vic Chopra with Wells Fargo.
Vikramjeet Chopra: Hey, good afternoon and congrats on a nice quarter.
John Morici: Maybe a couple for me here.
Vikramjeet Chopra: You know, on the guidance range, said 3% to 4% revenue growth for 2026. Maybe talk about some of the other variables behind that guidance range. And do you think that 3% to 4% range is conservative? Or do you think you can deliver above that level of growth in '26? Yeah, Vic. This is this is John. So, look, we we guide as as we always do. You know, we look at, you know, kinda how how we see the numbers, the actions that we're taking to be able to help drive performance. With new products and go to market activities and so on. So that's that's the range that we give, at this point, to be able to grow off of you know, 2025 at the three to 4%.
John Morici: You know, it it goes back to things that I've talked about that
John Morici: are really strategic for us. We wanna grow internationally. We're seeing good growth. We wanna continue that. Wanna continue to drive orthodontic you know, utilization. So that's products that that no AA product, the the comprehensive helps there. Some of the new products that we have with with Invisalign First and MAOB and others, those will will help us grow that utilization for those doctors. And we're really excited about, how GPs fit into this. They're doing a lot more of scanning every patient, visualizing, really tying in financing and other things to get that sometimes reluctant patient to decide to go into treatment. And then, of course, we wanna leverage our brand to be able to make sure everybody's aware of our product and how we can differentiate and so on. So it's really a continuation of our strategies around those those major aspects that give us the the confidence to be able to guide in in the way we have. And, you know, as as we go quarter by quarter, we'll we'll update as needed. Got it. And just a quick follow-up for me. You know, given the strong growth you called out among the DSOs, maybe just remind us what percent of your sales are coming from the DSO channel and how you plan to further expand these partnerships Thank you. Yeah. DSOs for us, Vic, are about 25% of our of our business on a volume basis, and we wanna continue to expand. They share many of these DSOs are are becoming more of a a digital orthodontic mindset. We share that digital orthodontic mindset with them. And they wanna you know, they want the the scanners. So they have lumina's. They're scanning every patient. They're providing a lot of visualization and and growing, and we think that's a that's a natural benefit when a DSO is looking to scale, we can help provide that scale through our technology and our operations, sharing, you know, and leveraging the brand as well. So it's a great partnership. We wanna continue on that. But also make sure that we're we're also helping our retail doctors grow as well. So we're not forgetting because it there's a large amount of retail doctors as well but we're very pleased to what we see in DSOs.
Joe Hogan: Thanks, Vic. Thank you.
Operator: And our next question comes from the line of Jason Bednar with Piper Sandler.
Jason Bednar: Hi, Jason. Hey. Hey, guys. Good afternoon. Congrats on the results here today.
Jason Bednar: I'm going to follow-up on Mike Cherny's operating margin question, tug on that thread to start. And the focus of the question is, are there things that need to happen or fall into place in order to hit that 100 basis point margin expansion target. You got a variety of scenarios that can obviously play out with product mix, geographic mix, channel mix. I I get all that, but
Jason Bednar: are there scenarios where you see that 100 basis points at risk
Jason Bednar: Or is that piece of your guidance you feel fully within your control?
John Morici: Yeah, Jason. When we think about that, we look. We have to execute. We have to better help grow the business. So much of what we see, especially on that the productivity that we have is is based on volume. We have to on our our volume and and get that to come through our our manufacturing We see volume benefits, volume leverage when we have that. But we've made a lot of changes, kinda exiting kind of in the 100 basis point improvement. And as we execute just like our overall revenue guidance, we'll update as we go forward.
Jason Bednar: Okay. Alright. Fair enough.
Jason Bednar: Wanna move over to China VBP real quick and
Jason Bednar: I appreciate all the comments you made and your exposure more on the private side of the market. But I guess, you help us a bit
Jason Bednar: more with what you're seeing competitively in advance of that VDP rollout, understanding it's delayed. But what kind of pricing assumptions are you making in that down 1% to two guide for your global ASPs for the year? How much is China impacting that? And then are you similarly making assumptions around the volume up uptick post to VBP implementation? Just any help there on those factors would be great.
Joe Hogan: Hey, Jason. It's Joe. I know, first of all, I'd say there's an uncertainty around bad implementation next year. You know, secondly, you have to think three and four area hospitals are the biggest focus in that area. We don't really participate in that to any any broad extent, and that's where it would be hit first. And kinda what I covered in my comments. You know, if we're 85% private, We're primarily in one or two cities. Now we know from the medical device industry and, you know, and other parts of the orthodontic industry and the dental industry that, you know, that might change in the sense of how VBP affects it. But we've pretty much taken a status quo look at our business in China as we go into as we go into the year. Like I mentioned, I feel we're well positioned in the sense of the products that we would position there if that does go through. And so right now, we're not expecting any major disruption for China. On year to year based on BVP. So our guidance,
John Morici: to be clear, Jason, is does not include any VBP impact, whether it's on the volume side or ASP side given, how Joe positioned.
Shirley Stacy: Thanks, Jason. Next question, please.
Operator: Sure. Our next question comes from the line of Michael Sarcone with Jefferies.
Michael Sarcone: Hi, Michael. Afternoon, and thanks for hey. Good afternoon, and thanks for taking the question.
Michael Sarcone: Just first one on the system sales.
John Morici: I think you had talked about previously you were going to end of life some of the older iOS systems. Maybe, you know, with that in mind, can you talk about how you're thinking about growth in '26 between kind of replacement cycle versus de novo placements?
Joe Hogan: Hey, Michael. I mean, we there are some, you know, old Element iTero scanners that we have. You know, a a clause on right now in the sense of what we'll service what we weren't servicing. We're doing our best to work with doctors to get them, you know, over the line and into a a new product like Lumina overall. I can't give you the specifics in the sense of, you know, how we look at our our, you know, our overall services business next year. And know, and scanner business and tell you specifically what that is. But I don't feel that transition's a major variable in the equation of our success year. And we're always looking to to have those scanners, especially the older ones like
John Morici: we've seen, element ones and twos, to position those out of the market. Offer a trade in allowance, and then get that that doctor to the newest scanner, Lumina. And once they see the difference, it usually, you know, kinda goes, and it's a it's an easy transition. But it's more efficient, for them to to use Lumina, and it's better for us. It captures more images better and so on. So we want that transition So like everything else, we wanna we wanna work with them to make that happen. Thanks, Michael. Next question, please.
Operator: Our next question comes from the line of Steven Valiquette with Mizuho Securities.
Steven Valiquette: Hi, Steve. Thanks. Good afternoon. Yeah. Thanks for taking the question. Yeah. I guess just separate from the discussion on your own ASPs and your own pricing, just curious to maybe get a little
Steven Valiquette: more color on your thoughts on just overall clear aligner pricing trends across the broader global marketplace. There's seemingly some positive news in relation to price increases on a few key competitors. I'm wondering maybe just tariffs or other factors are maybe just driving higher prices across competitive landscape in a way that might help you And is that material enough to where that was, a factor in your guidance, or do think would have guided for like your volume trends kind of regardless of what's going on and competitor pricing front? Thanks.
John Morici: Yeah. Steve, this is John. I, you know, I don't think that specific what they're doing is is is factored into our our guidance. You know, our guidance is based on what we can do to better help drive the business and drive adoption and take this active conversion approach. But it is noted. I mean, we watch things closely to see what competition does. We hear it in the field and so on. And and you're right. Many competitors for various reasons, I think know, in terms of tariffs or maybe it's profitability or other reasons that they look at changing their pricing and and I think it it stands to reason that some of the pricing that initially offered, they've had to increase. And it's probably a good thing in the in the long run to do. It certainly helps us, I think, going forward. But it's not contemplated in our guidance. But I think it's the evolution of the business. It goes forward.
Shirley Stacy: Thanks, Michael. Next question, please.
Operator: Our next question comes from the line of David Saxon with Needham and Company.
David Saxon: Great. Thanks.
David Saxon: For taking my questions. Good afternoon. I'll just keep it at one. So just on the direct
David Saxon: fab, as you roll more products through direct fab, how are we how should we think about the magnitude of that impact on gross margins kind of the cadence of that of how that hits the P and L? Thanks so much.
Joe Hogan: Yeah, David. It's Joe. Let me think we've been pretty clear that you know, that'll be somewhat margin dilutive in the sense as it begins to roll out in 2026. You know, we'll scale that. We have to scale to the millions. And so know, as we get into 2027, you'll see us really being able to scale out. And I think you know, as you as you enter the second half of 2027, you get into 2028, we expect we should move into margin accretion in the in that period of time.
David Saxon: Okay. But for '26, though, do you expect
David Saxon: gross margin to be down? Or I mean No. I mean, with with the margins, we you know?
Joe Hogan: We're pretty much projecting the margins that we have. Yeah. So we've got, you know, on these specific direct
John Morici: fab, direct fab that that is margin dilutive. But when we talk about the 100 basis point improvement, on op margin, that includes whatever impact that we might have from the direct fab. So we're contemplating that in terms of our overall guidance. But on direct fab itself, like Joe said, you you need to scale that resin and and drive utilization on the actual manufacturing. And until you do so, it's it's margin dilutive.
David Saxon: Okay. Great. Thanks.
Operator: Thank you. Our next question comes from the line of Michael Reiskin with Bank of America.
Michael Reiskin: Great. Thanks. I'll keep it to one as well, just a follow-up. On the scanners and and services segment for for '26. You know, you gave us a of the moving pieces between volumes, and you talked about ASPs earlier. It just sounds like you're you're guiding to scanners and services being roughly in line with total company revenue growth. Give or take a couple points. I was thinking that in '25, you know, you guys had a really tough comp. From prior year of 16%. So that was, you know, it it did a little bit slower. But since you're still on the Lumina ramp, I'm just curious why you wouldn't see some upside there and sort of what's holding you back from giving them more aggressive outcome scanners.
Operator: Thanks.
John Morici: Yep. Yeah. Michael, this is John. So on in total, you're right. Systems and services, when we think about kind of the company average in terms of you know, the the guidance that we gave, the three to 4%. Systems and services kinda falls into that on a year over year basis. So a lot of new things that we still have, to be able to grow with our and services business, some of the upgrades that we talk about, some of the trade ins, other ways to be able to grow, but we think broadly it grows equal to or about at, what clear aligners grow.
Shirley Stacy: Thank you, Michael. Two more questions, please, operator.
Operator: Our next question comes from the line of Kevin Caliendo with UBS.
Kevin Caliendo: Thank you. This is Dylan Finley on for Kevin. I'll keep it to one. Okay. Going back to John's commentary on the, question on the no AA and and of where that stands today, how was that contemplated into the one to 2% ASP decline that you're forecasting for the year? And, I mean, is that product going to be rolled in a meaningful way? And any additional aligners, whatever, would those be incremental to what you've guided for, or are there assumptions in place for what to get in in additional aligners?
John Morici: Yeah, Dylan. I could take that. So we expect to to in success, as we pilot things, we expect to to roll things out from a a no refinement type product, the no AA product. So we're seeing good uptake on the comprehensive with no AAs. We're seeing this and and have tested in in various markets, and we're seeing success. So that Continues to roll out in in in Q1. And like Joe said, it'd be mostly full fully rolled out into q into '2 Our guidance reflects that. So we have that. Don't think of an ASP impact with that type of product either, though, because remember, we don't have to defer revenue on a no refinement type of product. So we could recognize all the revenue upfront. The refinements will come over time. As doctors need to provide to need those refinements, and we just get that over time. And but it's not an initial ASP impact when we have that. And that's what's been contemplated in in the volume that we gave as well as the ASP.
Shirley Stacy: Thanks, Dylan. Last question, operator, please.
Operator: Final question comes from the line of Erin Wright with Morgan Stanley.
Erin Wright: Great. Thanks for squeezing me in. So in the ortho segment,
Erin Wright: how is broader clear aligner growth across the industry, particularly in the North American market? Comparing to brackets and wires? And just based on some of the gauge data that you track on that front. And then across kinda the team segment, any metrics on conversion rates or anything like that from a Invisalign First or pallet expansion standpoint? And and how that's tracking? Is that is that moving the needle? Thanks.
Joe Hogan: Erin, it's Joe. On the ortho segment wires and brackets and liners, I would say there's between the fourth quarter and what we saw the rest of the year. I I don't think there's a big difference in the sense of the conversion we've seen on, you know, particularly teens with wires and brackets and in our product line overall. Now where we have seen a difference, obviously, in the younger patients, and and that's not really a wires and brackets competition. Those are different devices that we're going about, and we saw, you know, great growth in that area. Conversion rates, again, I think conversion rates if I hit this right on your questionnaire, it has a lot to do with how these doctors convert. Do they scan up front first? Do they show, you know, visualization, you know, like, you know, our smile? Our smile products and different things like that. And workflow becomes extremely important in the sense of what those conversion rates are. But I haven't when you think holistically or generically in the industry, don't think the conversion rates in the orthodontic community have changed dramatically at all during the year.
Shirley Stacy: Thanks, Erin. Okay. Thanks.
Operator: Thank you. And we have reached the end of our question and answer session. I will now turn the call back over to Shirley Stacy for closing remarks.
Shirley Stacy: Thanks everyone for joining us today. Look forward to meeting you with you at upcoming investor conferences at industry events, and Chicago Midwinter in the next couple of weeks. If you have any follow-up questions, please contact Investor Relations, and have a great day.
Operator: Thank you. This concludes today's conference. And you may disconnect your lines at this time. Thank you for your participation.